Operator: Greetings, and welcome to CV Sciences' Second Quarter 2024 Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] It is now my pleasure to introduce your host, Brendan Hawkins with Investor Relations. Thank you. You may begin.
Brendan Hawkins: Thank you, and good morning, everyone. With us today with prepared remarks are CV Sciences' Chief Executive Officer, Joseph Dowling; and Joerg Grasser, Chief Financial Officer. After the prepared remarks, we will take questions from the analyst community. I'd like to remind you that during this call, management's prepared remarks may contain forward-looking statements. These forward-looking statements are subject to risks and uncertainties that may cause the actual results to differ materially from those anticipated by CV Sciences at this time. When used in this call, the words anticipate, should, could, estimate, intend, expect, believe, potential, will, project, and similar expressions as they relate to CV Sciences are as such forward-looking statements. Finally, please note that on today's call, management will refer to non-GAAP financial measures in which CV Sciences excludes certain GAAP expenses from its GAAP financial results. Please refer to the CV Sciences' press release from earlier today for a full reconciliation of its non-GAAP performance measures to the most comparable GAAP financial measures. This morning, the company issued a press release announcing its financial results. Participants on this call, who may not have already done so, may wish to look at the press release as the company provides a summary of the results on this call. The press release may be found at cvsciences.com. I'd like to now turn the call over to CV Sciences' Chief Executive Officer, Mr. Joseph Dowling. Joe?
Joseph Dowling: Good morning, everyone. Thank you for joining our call. This morning, we issued a press release reporting results for our second quarter ended June 30, 2024. We are pleased with our continued progress as we move closer to profitability and generating free cash flow on a sustained basis. Significant financial highlights during Q2 included, we achieved revenue of $4 million, consistent with our $4 million revenue total for the second quarter of 2023, and the first quarter of 2024. Our Q2 gross margin of 47% represents sequential improvement from 46.3% for the first quarter in 2024, and is our highest gross margin in the last 13 quarters. We continue to maintain our number one position in the natural product retail channel, and we continue to increase our market share in this important B2B channel as well. We continue to execute on our M&A strategy as demonstrated by our recent acquisition of Elevated Softgels, a Colorado-based softgel and tincture manufacturer. Before I continue, a few comments on the execution and implementation of our M&A strategy. As we have communicated for the last couple years, we have actively reviewed numerous inbound and outbound M&A opportunities. We are looking for opportunities to increase revenue, profitably and increase cost-efficiency with transactions that can leverage our assets, including our brands, our people, and process, and our distribution. One of our top goals is to achieve greater scale, and do so profitably. Another major goal is to position the company for an opportunity to list on a major stock exchange. For this to occur, we must have greater scale and be profitable. We are making great progress on this front. Over the last eight months, we have completed two strategic M&A transactions that are components to increasing revenue and scale profitably. The Cultured Foods acquisition, completed in December, 2023, continues to make progress in the EU marketplace, as well as other non-EU markets. We are also making progress in preparing Cultured Foods' products for launch in the U.S. market. We have worked or branding, packaging, regulatory compliance, messaging and product formulation for the U.S. market. We expect to launch the first phase of plant-based protein products during the second-half of this year. Our most recent transaction, of Elevated Softgels provides us with operational flexibility in serving our brand-owner customer base. We are able to produce at low to large minimum order quantity production runs which provides our brand-owner customers greater flexibility, increases their speed-to-market of new product development, and with more efficient use of capital. Elevated Softgels is a GMP-certified and FDA-registered facility. This acquisition creates an opportunity to further increase sales to current and new clients of Elevated. We are also actively moving toward in-sourcing production of certain of our key +PlusCBD CBD products, creating potential for significant cost-efficiency and further improvement of our gross margin. Also during Q2, we continued to achieve other operational objectives, including our new product development efforts continued during Q2 as we are planning to launch several new products throughout the balance of 2024 that we anticipate will contribute to the organic growth of our flagship +PlusCBD brand, as well as other non-CBD products. Recent product launches include our Pet Chews for hip and joint health and calming care chews. And our cost-efficiency efforts continue to result in a lower overall company cost structure, with efficiency gains and cash savings in numerous areas including SG&A. Our gross margin in Q2, of 47%, improved again, demonstrating our commitment to continuous improvement in operating a cost-efficient company. On the revenue side, our goal is to increase the scale of our company through organic growth and through our M&A strategy. Brand contraction continues to help us take market share in B2B channels as retailers continue to remove slow-moving brands. In the natural product retail channel, we are the number one selling brand and continue to see market share concentration of the top four brands in the 60% range. Customers are loyal to brands that they know and trust, and we are at the top of the list in the natural product retail channel. Our B2C sales channel continues to improve. We continuously evaluate our advertising, merchandising, and marketing spend to optimize our B2C return on investment. We are seeing good results in all critical B2C KPIs, including new investors, increased subscription orders, and average order value. We believe that further brand contraction, increased education, emerging cannabinoid science, and consumer trust in our company and strong brand will all help grow the B2C channel. We are prepared to grow the channel and take market share as the category evolves. Product development continues to be important for our growth strategy as new product sales generate a significant portion of total revenue each quarter. Consumers are demanding high-quality brands like our +PlusCBD products, but they increasingly want multi-active ingredients that carry a structure function claim that can be trusted. We are addressing this trend and have several planned product launches during 2024 to complement products under our wellness line, including our sleep, calm, and relief products, and our over-the-counter topical line. We will continue to innovate and launch new products that are responsive to our customers and our specific need space including for anxiety, pain, and sleep, and metabolic disorders. We believe that strong science supports our product claims, and we will win the trust and loyalty of our existing and new customers. The regulatory environment continues to be a challenge at both the federal and state level. We have seen progress in certain states, while other states need further attention. At the federal level, inaction by FDA and Congress is frustrating, but we continue to be actively involved in pushing Congress to make progress on a hemp and cannabis regulatory framework, including the possible rescheduling of cannabis to Schedule III status. Incremental legislative progress helps advance our industry and creates an environment where quality companies and products can be trusted to grow the industry in a responsible way. Our drug development program in treatment of smokeless tobacco use and addiction remains a valuable company asset. This technology, which is patent protected in 10 countries, covers methods of treating smokeless tobacco addiction by administering pharmaceutical formulations containing CBD and nicotine. We believe this drug development program has significant value, and even though we have paused development of this program internally, we continue to seek collaboration partners on this program. Our industry has challenges, but we are positioning ourselves to compete in the current environment. We are doing this by streamlining our operations and increasing our cost efficiency to align the company for growth and profitability. We have made great progress in building a lean, cost-efficient organization that is positioned to leverage our company's strengths. Our strong operating platform has allowed us to utilize an M&A strategy to acquire assets that add revenue, increase our scale, and provide operational efficiency. Our acquisitions over the last three quarters, including cultured foods in December 2023 and just recently elevated soft gels, will add revenue to the top line and promote cost efficiency as we move toward profitability. We will continue to evaluate inbound and outbound M&A opportunities that support our strategic plan of increasing revenues, and cost efficiency. Let me pause now. And I will turn the call over to Joerg.
Joerg Grasser: Thank you, Joe, and also good morning to everyone. During the second quarter, 2024, we saw the results of several of our key initiatives, which we talked about in our previous earnings calls. We maintained our top line revenue at $4 million in a very competitive market where most of our competitors are experiencing sales declines. We also continue to see a positive financial impact of our cost efficiency measures, mostly in our gross margin improvement, but also in several other functional areas of the company. Over the last several years, we have significantly reduced our cost structure without significant productivity losses. And we are well positioned for operating leverage as we continue to increase revenues, all with the main goal of creating shareholder value. During the second quarter, we recognized revenue of $4 million, the same amount we recognized in the second quarter of 2023 and the first quarter of 2024. Our unit sales declined by 12.5% in the second quarter of 2024 compared to 2023, offset by higher average sales prices per unit of 12.1%. The average sales price per unit increased due to channel and product mix. We were also able to take market share from our competitors across all of our sales channels, including the natural product channel and B2C. Our new product introductions were successful, and our team is doing an effective job on executing on our go-to-market strategy. New products introduced since the beginning of 2022 represented almost half of our second quarter 2024 revenues, which shows the importance of new product innovation. The overall CBD market continues to be fragmented and very competitive. We don't see this changing anytime soon, but we see further brand consolidation and brand contraction, which are opportunities to further increase our market share and our revenue base. Our direct-to-consumer business continues to perform well, and associated sales represented 44% of total revenue in the second quarter 2024, compared to 42.3% a year earlier and 44.2% in the first quarter of 2024. Our B2C revenue for the second quarter 2024 increased by 4% on a year-over-year basis, despite reduced digital marketing spend. Our team continues to make solid improvements to our main digital KPIs. We were able to grow our B2C sales on a year-over-year basis as a result of improvements to our subscription program and increased customer list. Our AOV increased 3% and our organic search was up 10% on a year-over-year basis, all good signs for sustainable and continued growth in this channel. Gross margin for the second quarter of 2024 was 47%, our best gross margin in the last 13 quarters. We recognized gross margin of 43.3% in the second quarter of 2023 and 46.3% in the first quarter of 2024. The improvement in gross margin compared to prior year is mostly due to our product and channel mix, reduced freight, and lower inventory losses. We continue to work on further cost deficiencies, especially in the area of shipping and fulfillment in order to further improve our gross margins and increase our gross profit. SG&A expense for the second quarter was $2.4 million, down from $2.8 million a year ago, representing a decrease of 12%. The decrease in SG&A expense is mostly due to reduced digital marketing expenses, partially offset by additional legal and professional fees. During the second quarter 2024, we incurred legal and professional fees of $0.5 million associated with a legal dispute with our founder. For the second quarter 2024, we generated an operating loss of $0.6 million compared to an operating loss of $0.6 million compared to an operating loss of $1.1 million a year ago, mostly due to improved gross margins and reduced operating expenses. Our adjusted EBITDA loss for the second quarter was $6,000 very close to our goal of breakeven and significantly improved from $0.9 million in the second quarter of 2023. On a GAAP basis, we reported a second quarter 2024 net loss of $0.6 million compared to a net loss of $1.3 million in the second quarter of 2023. Now let me turn to our balance sheet. We ended the second quarter of 2024 with $0.5 million of cash compared to $1.3 million at the end of fiscal 2023. In July, we entered into a financing agreement with Streeterville and brought in $0.9 million of additional cash to help us with our growth strategy. During the second quarter, 2024, we used cash from operations of $0.1 million. We continue to manage our overall cash position with improved cash collections on our outstanding AR and daily management of our inventory and vendor payables. We continue to adjust our cost structure to be in line with our expected revenue versus overarching goal of generating positive operating cash on a continuous basis. We anticipate some modest cash usage in the third quarter of 2024 to further integrate our recent acquisitions before generating positive cash flow towards the end of 2024. Our inventory was $5.2 million at the end of the second quarter compared to $5.7 million at year end, as we continue to focus on efficient cash management and converting our raw materials into cash. Our raw materials mostly consist of hemp oil, which we previously purchased and continue to convert into finished products. Our raw material balance slightly decreased from the end of 2023. We consolidated the results of Cultured Foods and Elevated Softgels into our financials, and we anticipate to see results of the associated synergies of these two acquisitions in the second-half of 2024. With our improved balance sheet and our reduced cost structure in place, we have the financial flexibility to continue executing our growth plan and look forward to improving trends as the year unfolds. Now, I'll turn the call back over to Joe.
Joseph Dowling: Joerg, thank you. As Joerg and I have discussed this morning, we continue to align our company to the scale of the industry to achieve profitability and positive cash flow. Investors are looking for leaders like CV Sciences to consolidate our industry so that a healthier category can evolve, where financial fundamentals such as profitability and free cash flow can be achieved. We continue to make tough decisions to ensure that we are scaled properly, operating efficiently and are focused on adding long-term shareholder value. We believe that our M&A strategy, including the acquisition of Cultured Foods and Elevated Softgels are examples of long-term shareholder value potential. With Cultured Foods, we're making progress to bring these great sustainable plant based food products into our U.S. B2B distribution network, while working with our EU team to grow this business in the European market and beyond. The global vegan food market is growing rapidly and expected to grow 5x by 2030 with millennials and flexitarians as the driving force behind soaring vegan food sales. We're also working to leverage the Cultured Foods European infrastructure to introduce select products from our flagship +PlusCBD brand across Europe as laws allow, providing a nice growth opportunity for our core CBD business. With the Elevated Softgels acquisition recently completed in May 2024, we're excited to help grow the revenues of this business and to selectively in source production of certain +PlusCBD products. We will continue to participate in the contraction and consolidation of both the cannabis and hemp industries and will evaluate both inbound and outbound M&A opportunities that have strategic value and help scale our company profitably. Also, regarding our M&A strategy, I'm very pleased to announce that we have retained the Maxim Group as our advisor to provide strategic financial and investment banking services. With the help of Maxim, the company will continue to build an efficient and cost effective consumer products platform. Along with Maxim, we will continue to evaluate inbound and outbound transactions, merger, sale, acquisition or other options for the Company. Our relationship with Maxim strengthens our goal of potential listing on a major exchange and increasing our institutional investor relevance. We're optimistic about the long-term opportunity for our company to remain a competitive force in the health and wellness industry. We have made decisions to ensure that we are focused on adding long-term shareholder value. Our customers and retail partners love our products and they trust who we are. We are a company of dedicated employees that produce safe and high quality products that meet the needs of our customers at value. Now, I will turn the call back over to the operator for any calls from the analyst community.
Operator:
Joseph Dowling: Thank you. I would like to thank everyone for being a supporter of CV Sciences and our great products. We look forward to speaking again soon. Thank you and have a great day.
Operator: Thank you. This does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation.